Operator: Thank you for joining us for The Middleby Corporation Second Quarter Conference Call. With us today from management are Selim Bassoul, Chairman and Chief Executive Officer and Mr. Tim Fitzgerald, Chief Financial Officer. We will begin the call with comments from management and then open it up for question and answer. Instructions will be given at that time. Now I'd like to turn the call over to Mr. Fitzgerald for opening remarks. Please go ahead, sir.
Timothy Fitzgerald: Thank you and good morning, everybody. Thanks for attending today's second quarter conference call. Net sales in the 2015 second quarter of $436.3 million increased 2.7% from $424.8 million in the second quarter of 2014. The second quarter sales include the impact of acquisitions not fully reflected in the prior-year comparative results, which accounted for $32.1 million or 7.6% of the sales growth in the quarter. Sales in the quarter also continued to be affected by the strengthening of the U.S. dollar against a number of foreign currencies in comparison to the prior year. This fluctuation resulted in lower reported international sales when converted to U.S. dollars. This impact amounted to $11.8 million or 2.8% in lesser reported sales growth for the quarter. Excluding the impact of acquisitions and foreign exchange, sales declined by 2.1% over the prior-year quarter. This decline reflects an organic sales increase of 7.9% at our Commercial Foodservice Group, a decrease of 22.5% at our Food Processing Group and a decline of 13.3% at our Residential Kitchen Equipment segment. Sales at the Commercial Foodservice Group amounted to $288.8 million and sales growth reflects continued demand from restaurant chains upgrading equipment and adopting new technologies to improve the efficiency of restaurant operations. Sales at the Food Processing Group amounted to $71.9 million in the quarter. Consistent with the nature of this business, we saw volatility in the second quarter sales in comparison to the prior-year quarter due to the timing of large orders. Additionally, given the large proportion of international business, the impact of the strengthening U.S. dollar had the greatest impact on this segment. Despite the first half sales decline, incoming order rates increased by approximately 20% in the first half and we continue to see positive trends in activity with our customers and we expect that we will have positive organic growth rates in the second half of the year. Sales in the Residential group amounted to $75.5 million in the quarter. This included approximately $14.8 million in sales related to acquisitions. Excluding the impact of acquisitions, as expected, sales at Viking were impacted by non-core products that were discontinued and connected with the acquisition of distribution in 2014 and the transition to the new line of refrigeration. As a result of this transition to the new refrigeration products, sales were affected during the quarter by lack of product availability during the first half. By the end of the second quarter, we had started production on all models of refrigeration and expect a gradual improvement in sales in the second half as these products are promoted. Gross profit for the second quarter increased to $172.9 million from $166.2 million in the prior year, and the gross margin rate increased from 39.1% to 39.6% driven by improved margins at the Residential Kitchen Equipment segment. Gross profit margins during the quarter were 41.3% at the Commercial Foodservice segment as compared to 41.5% in the prior-year second quarter. The margins were relatively consistent and include the impact of lower margins at the five newly acquired businesses in the segment late in 2014 and the first half of 2015. Gross margins at the Food Processing Group were 37.5% as compared to 37.4% in the prior-year quarter. The gross margins were constant at this division as profitability improvements were offset by the impact of the lower sales volumes during the quarter. And the gross margin at the Residential Kitchen Equipment segment increased to 36.2% from 32.9% in the prior-year quarter. The improvement reflects the benefit of cost reductions from restructuring activities and improving warranty costs offset in part by the lower sales volumes during the quarter. Selling and distribution expenses during the quarter declined from $48.1 million to $45.3 million. The second quarter of 2015 included $4.6 million in additional selling costs related to acquisitions completed during the past year offset by $1.8 million in lower costs due to currency translation. Excluding the impact of acquisitions and FX selling costs declined by $5.6 million reflecting the benefit of cost reduction and acquisition integration initiatives implemented in 2014 and 2015. General and administrative expenses increased from $42.3 million to $44.2 million. This increase includes $3.1 million of incremental expenses associated with the newly acquired businesses. The second quarter expense also included $4.6 million of nonrecurring expenses, which increased by $3.3 million compared to $1.3 million of nonrecurring incurred in the prior-year quarter. These increases were more than offset by the impact of foreign exchange, which reduced G&A expenses by $1.3 million and cost savings initiatives implemented during the past year. Earnings per share in the second quarter amounted to $0.95 as compared to $0.85 in the prior-year quarter. The current-year quarter included a $0.05 impact related to nonrecurring charges from restructuring actions and $0.02 related to the impact of foreign exchange. Excluding these items EPS would have increased 20% and amounted to $1.02. Cash flows generated by operating activities amounted to $85 million during the quarter comparing favorably to $75.2 million in the prior year. As for the first six-month period, operating cash flows amounted to $87.9 million as compared to $67.7 million in the prior-year first half. Noncash expenses added back when calculating operating cash flows amounted to $16.5 million for the quarter and $29.5 million for the first six months. The $16.5 million of noncash expenses during the quarter included $6.9 million of intangible amortization, $4.2 million of depreciation, and $5.4 million of noncash stock-based compensation. The company utilized $5.6 million in the quarter and $11.7 million for the first six months to fund capital expenditures related to investments in manufacturing equipment and enhanced production capabilities. Investments in acquisitions, acquisition related investments amounted to $29.7 million for the quarter and $76.2 million for the year and includes the acquisitions of Desmon, Goldstein, Marsal, Thurne, and Induc. Total debt at the end of the quarter amounted to $629 million as compared to $598.2 million at the end of 2014 and the company's net debt to EBITDA leverage ratio at the end of the quarter approximated 1.5 times. And the debt at the end of the second quarter does not include the anticipated funding of the AGA acquisition, which is anticipated to close by the end of the third quarter. So, Dave [ph] that is all for our initial comments, if you could open the call now for questions that would be appreciated.
Operator: [Operator Instructions] And our first question comes from the line of Tim Wojs of Baird. Your line is open.
Tim Wojs: Close enough. Good morning, guys.
Selim Bassoul: Morning.
Tim Wojs: I guess just to start in Residential, I think your organic growth in that business probably surprised people the most. How did that business trend relative to your expectations during the quarter? And did you see some improvement in the sales trajectory through the quarter and into Q3 so far?
Selim Bassoul: Well, first of all let me go back to my business confidence goals, which I had mentioned that we had done three things at Viking that where I think back in the short-term sales. Number one, we had really basically changed our complete dealer channel by reducing the number of dealers we're selling to. We were changing the dealer programs, which affected basically a lot of the distribution. We basically had to eliminate dealers, and we had to take back inventory and displays, and literally cancel orders that were eminent, and that impacted the first factor. The second factor was the fact that we had the new product that was coming out, and as the new products were coming out, we had to put on displays, and the displays are basically offered to our dealers at a significant discount for them to motivate them to put the displays. So they offer the space, we offer this display at a significant discount. And we've had significant amount of displays going on this year, which while did generate sales, it generated sales at a heavily discounted price. Number three, our biggest issue has been the refrigeration [ph]. As I mentioned to you that we were redesigning our complete refrigeration [ph] to the ENERGY STAR and meet the energy guidelines; second, to introduce the complete slew [ph] of refrigeration [ph] that had better quality than the previous Viking refrigerators that had a lot of legacy problems. So you look at all of those, so literally I had already told everybody that we do not expect Viking sales to come through this quarter, knowing all that. On top of that we had a recall that took place in the quarter that also affected the sales, because we were out there taking out some recalled products. So I would tell you that I am extremely pleased with the results of Viking. Despite all the trends, we had no refrigeration [ph] to sell. We basically let go over one-third of our dealers. We were filling up displays, and we had recalls, and I'm very, very pleased with the numbers as they showed. Now looking forward, I'm very excited to say that the new products are growing extremely fast. The French door ovens, the 7-series our new cooktops are flying off the shelves. So to state that example, our distributers in Beirut, Lebanon, when I was just there on business, just received the first – it's the first international truckload of new product of the French door and 700. He had been the Viking distributor since 1999 and when we acquired Viking, he was the most vocal about all the problems that Viking had: lack of innovation, quality issues. And since my parents still live in Lebanon, I still go back to Lebanon quite a bit, he was the first to come to me and say, Selim, I sell nothing but Viking. I'm not a traditional dealer. I make my living off Viking. I need you to help us start growing again. And when he received the first truckload, 70% of that truck, of that container was sold within less than seven days. His salespeople were excited. His service people were excited. And the same thing is happening in the United States. And now he's expecting to receive the refrigeration, so next is refrigeration coming up online and of course, he's ready for the TurboChef oven and the steam cooking oven and the single-door French door and the single-door TurboChef. So there's a lot in the pipeline coming out between now and the end of the year.
Tim Wojs: Okay. No, that's very helpful. Thanks, Selim. Should we expect the level of organic growth to improve in the back half of the year? And I guess, Residential, should it – could it be positive?
Selim Bassoul: Well, I would tell you that at this moment orders have picked up, but I am not going to make any guidance in the short term for two reasons. One, I want our number objective, and I want to make it very clear, my number one objective at Viking, when we bought that and we always had a pact between all of us, between us and our shareholders, between us and our board, between us and our employees, between us and our dealers, is to reestablish the brand as a high-end brand. And this was not the case in the past. We've had many recalls. We've had legacy issues on quality. We've had pricing all over the board. We've had people on the Internet basically offering pricing where you could buy a Viking product almost heavily discounted. We stopped all of that, and the results have been twofold. One, the brand is coming up and I will basically in my closing comments talk about all the awards we've gotten since. It was very difficult for us, because it's easier to go and get orders. I can tell you today, I can ship truckloads of orders if I keep the Internet the way it was and managed. If I go out and sell every dealer out there, because Viking is a very strong brand, if I go and allow people to basically discount one product to move our cooktop or our ranges that are very popular, and we stopped all of that. Number two, our pact is to make sure – so we wanted to raise the brand, which has always been something that Middleby is known for. Number two, more important is to make sure that our EBITDA continues to grow. And one of the issues that you've seen in this industry and the essential appliance industry has been the low margins. So if you look at everybody, whether it's GE, whether it's LG, Samsung, Whirlpool, Electrolux – that is the one I can capture, Siemens and [indiscernible] don't share public, and Viking, they were all below a single-digit EBITDA number. And the challenge that everybody asked me when we bought Viking, why would Middleby enter a segment that was traditionally low-margin, specifically when you have big players, a lot bigger than us, that have automation, they have efficiencies, they have supply synergies and supply leverage bigger than us? Well we proved to all of you that – I think, Tim, our margins in, our EBITDA margins were how much in this quarter?
Timothy Fitzgerald: Well for the first half, we were running right at 20%.
Selim Bassoul: Okay. At 20%. And we will continue to pushing to what Middleby is. We would like to hit 30%, which should be a major change. Viking since its existence has never had a 20% EBITDA, from day one they started. Even in the heydays when they were almost a $0.5 billion company, they never had a 20% EBITDA to sales ratio. So this is our number one focus was to get the brand back up, to get the EBITDA. So today, I will continue saying we will not take orders at the expense of the brand and EBITDA. And this is a big change. It's a big cultural change because this was not the case in the industry. So I can give you a perspective. Our number one competitor is out there discounting heavily even though they have a great brand, and they discount. And we refuse to meet and match the prices, and we've lost some projects because people are testing our resolve and we're saying no. And as we continue bringing the new products, the Middleby technology, we hope to do what we've done in Commercial. We are basically – we will grow by being positioned at the highest price but great features, great benefits, in the long run, a great cost of ownership. And that's what we'll do.
Tim Wojs: Great. No, no. You guys have done a great job. I'm not trying to – I mean, you guys have done a great job. I'm not trying to – you guys have done a very good job with the business over time. So yeah, I'd hate to kind of concentrate on some of the short term. You guys have really done a great job there over the last couple of years. I guess on food processing, is there a way to think about – you said orders were up in the first half by 20%. Is there a way to think about what the base of that order book looks like in terms of what that could translate into revenue in the back half of the year, Tim?
Timothy Fitzgerald: Yeah. I think we're going to see higher single-digit to lower double-digit revenue growth is kind of what we would anticipate for the back half of the year. Some of those orders will go into 2016, but we will start seeing that start coming through in Q3 and Q4 as well.
Tim Wojs: Okay. And that's just on an organic basis, not accounting for FX?
Timothy Fitzgerald: Correct.
Tim Wojs: Okay. And then in Commercial Food, is there anything – you guys are very well positioned – is there anything that you're seeing that would kind of change the demand trajectory there? Or is it just kind of status quo, business as usual in Commercial Food?
Timothy Fitzgerald: It's been fairly consistent. As you mentioned, we're seeing continued activity really across our Chain business, which is strong. Some of the international markets have been up and down a little bit. Overall we're still growing well international. But again, given currency change for example, markets like Brazil where you had huge swings, our book is becoming more expensive. So we've seen a few pockets here and there of I would say slowing, but I think that's kind of in the – with the backdrop of still good demand as we see a lot of our customers opening restaurants overseas.
Tim Wojs: Okay. I appreciate all the color. I'll hop back in queue. Thank you.
Selim Bassoul: Thank you very much.
Operator: Thank you. Our next question comes from the line of Tony Brenner from Roth Capital. Your line is open.
Tony Brenner: Thank you. Good morning.
Selim Bassoul: Good morning, Tony.
Timothy Fitzgerald: Hi, Tony.
Tony Brenner: I have a question regarding the 20% first half increase in food processing orders. Given the high-ticket nature of that business, I wonder if that backlog or the increase in orders reflects just a couple of high-ticket items that are in the pipeline? Or is it a broader based increase in orders? And if so, what might be driving that?
Selim Bassoul: Tony, you're getting to the heart of our strategy, which I would like to answer that question. We've been in that business now for approximately 10 years. So one of the issues that we've done over the past I would say five years is to try to take the cyclicality and the lumpiness of that business away. We're not there yet. I'm not going to tell you that we've taken that out. But what we want to do in the next 24 months is we will basically start seeing a much more normal, flat business than it's been in the past. And that has been a major effort by us. So let me give you a perspective of what we've done to take away the lumpiness. One, the number of acquisition we've done have been given, gave us a lot more flexibility to basically weather one segment to another. So if beef is down or chicken is up, we're baiting [ph] and playing and smoothing out a little bit more of where we were mostly playing was dominantly playing in sausages, hot dog, bacon. So now there is more integration and technology in the chicken market. We've become a much better player in the chicken especially with the acquisition, our last acquisition we've done this year. I also look at emerging markets. We have in the last two years invested significantly in emerging markets where we see a lot more of this coming through from China, Thailand, Malaysia, Middle East. Number three, we are now in the process of expanding our more expertise into segments that could benefit from what I call high-speed cooking or automation. So our bakery business, now we're going into things that we didn't have before. So we close within our bakery business to attack snacked goods, snacked goods, which we did not have before. We're mostly into what I call baked goods. Now we're going into snack goods, which allows us to get there. We're going into some application we have continues to be interesting in the medical [ph] side. We are interested in looking more at seafood. We're looking into, more into pet food for – we all have pets and we know how much we're spending on pet food. And all that requires the same thing. We're feeding dehydrated fish and salmon and beef and chicken to our pets. So I think that the strategy is working and our number one goal in the next 24 months is to figure out a way to smooth that lumpiness and cyclicality. And we're almost there. If you ask me that question 24 months ago, I would say I don't know how to answer it. So we've put a lot of effort. In the next 24 months it will be significant effort to smooth and start growing the way we grow in Foodservice. So we're very excited about this.
Tony Brenner: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Schon Williams from BB&T Capital Markets. Your line is open.
Schon Williams: Hi. Good morning, gentlemen.
Timothy Fitzgerald: Hi, Schon.
Selim Bassoul: Good morning, Schon.
Schon Williams: I wonder if we could talk a little bit about the restructuring that's been going on in Viking? Quite a bit of charges the last couple of quarters. Can you just talk about – is most of the heavy lifting done, kind of first part of the question? And then what, in terms of the benefits, have most of the benefits from that restructuring already been realized? Or is there still more to come and we should start to see it over the next kind of 6 to 12 months?
Timothy Fitzgerald: I would say the heavy lifting is done, Schon. We did a lot of the charges that came through in the first half of this year related to distribution. As you recall, we acquired quite a few distributors over the course of last year. And as we streamlined that operation, we had a number of charges, including as we consolidated warehousing and kind of focused on the logistics end of that business. We still continue to drive efficiencies overall in the business. So I think really a lot of the heavy lifting is done. I think you saw from residential, improved margins in the first half of this year, overall the company we've had lower reported SG&A during the quarters. So we are seeing the benefit of that. It's somewhat offset by the fact that we're still dealing with the buying issues, as Selim talked about. We're kind of moving into the new Viking, but that being said, it's shown up in the EBITDA numbers, and we do think that those will expand as the business grows. I think there still is probably a little bit of improvement that is still yet to come through the numbers, but I think you did see a lot of it here in the second quarter.
Schon Williams: Okay. And then just focusing on Viking, I mean if we strip out the discontinued lines, we strip out maybe refrigeration, would organic growth in Viking would still be down because of the changes that you've made in distribution? I'm just trying to think of like...
Selim Bassoul: It's really up. Let me make that clear. If you strip out the distributers' products and refrigeration will be up. So...
Schon Williams: Okay. That's helpful.
Selim Bassoul: So it will be up.
Schon Williams: Okay. That's very helpful. And last question, if I may, Tim, could you maybe just talk a little bit about we've seen some news recently about some recalls coming through just within the past couple of weeks. Maybe just talk about, is that already built into the warranty reserve? Is there still adjustments that maybe needed to be made to the income statement as we go into the back half of the year? Is there a special charge that needs to happen for those? Can you just help me understand, kind of are there – are we seeing kind of incremental headwinds here or was that already kind of baked into the numbers to some degree?
Timothy Fitzgerald: Oh. We do have a reserve on the books for recall items, and so we're not anticipating additional charges related to that.
Schon Williams: All right. That's helpful, guys. I'll get back in the queue.
Selim Bassoul: Thank you, Schon.
Operator: Thank you. Our next question comes from the line of Jason Rogers from Great Lakes Review. Your line is open.
Jason Rogers: Good morning.
Selim Bassoul: Good morning, Jason.
Jason Rogers: Just to follow-up on the last question, I wonder if you would be able to quantify the costs related to the refrigeration rollout in the quarter? And how should we be thinking about that for the second half of the year?
Selim Bassoul: Well I would say, it would be tough to do that for two reasons. One, we've incurred a lot of R&D costs on the refrigeration just from that perspective. So just to give you – maybe I should give everybody a historical perspective on refrigeration at Viking. So number one, when we acquired the business, refrigeration was – the engineers, R&D of refrigeration was in Iowa, in Des Moines, Iowa. So you had some factory in Greenwood, Mississippi and the engineering and R&D done in Des Moines, Iowa, extremely difficult to basically coordinate what was going on. And what happened, every time they designed a prototype, it had to be shipped down to Greenwood and they had to ship back with the changes, and it was tough. In the meantime, we had a deadline of September 1, 2014 to deliver the energy standards on refrigeration. In July, I decided to close the Iowa R&D, because it was not efficient. So here we are in the middle of trying to catch up on our energy standards, and I decided to close down the Iowa. It was spared [ph] by a couple of things. First of all I think they, the Iowa engineers realized that at one point I did not like the fact that we were disconnected and a couple of them had put their resumes out and left. And then I said, we'll it's time to maintain maybe close the tank [ph] and we closed it. So we took, we had no R&D or engineering in Greenwood, Mississippi and none of the engineers in Iowa were willing to relocate to Greenwood, Mississippi from Des Moines, Iowa. So we had to rebuild our total engineering group and luckily for us, we're not only able to find great engineers in refrigeration [ph], we're able to literally upgrade our industrial engineering. We're able to work on brand new products. We had people join us and move to Greenwood, Mississippi. So we were lucky to find a great team of engineers both in the plan on the industrial side and in the design side. Second what we have done along the process, we also were sourcing some product from Whirlpool and at the time Whirlpool decided that they did not want to supply us anymore those product. So that was multi-million dollar sourcing product and it stopped. And we ultimately had to scramble to find another source to give us our free standing, which was had been always outsourced. And we basically were able to work with Electrolux to be a replacement. And that took almost four months to test the prototype, make sure we had no quality issues, Electrolux was superb in working with us, and not only that we acquired a better product with a better warranty from Electrolux than we had before. So the relationship now has become under refrigeration [ph]. We had to almost blow up the whole refrigeration [ph]. So when you ask me about cost, it's very complicated story about cost, because we have to move, we have to give a severance package to our people in Des Moines. We had to move production. We had to hire people. We had to have retaining fees for head-huntings to get people. We had to locate people to Greenwood. We had to create the complete refrigeration [ph] lab. A lot of expenses went, a lot of CapEx went into this and a lot of what I call day-to-day expenses went into it. In addition we did something that we have not done before. We went out and started doing field-testing in addition to improving the testing, 100% testing in the factory. We've been doing field-testing out in the field. So we've put in a lot of products out there, making sure that they work, and addressing every warranty issue. And we're in the process of launching right now. So we've just started launching the new products. They have come up, and this literally we're starting to train people, because they have a lot of features that they didn't have before, a lot of qualities, different ways of LED lights, the plasma cluster, which is extending the freshness of the food better than any other refrigerator in the world, the way the hinges work so we don't have a hinge problem ever, the weight, the capacity, we're basically 20% to 22% more capacity at the same size of our closest competitor for the same size refrigerator. We redesigned the thing to take large pizza boxes that you can put in. We put such pulls on our drawers inside. We reinforced all our refrigeration over our competitors to even work in places that have high humidity, like Florida and Middle East. So we've done a lot of work. So for us to go back and put that together would be difficult for us to give you the costs. But I will tell you that a lot of efforts went into the refrigeration. And we intend to make refrigeration a big part of our business. So we're very excited to take refrigeration to the next level. And the first reaction response have been absolute. I will let you know when Optimax [ph], our dealer, our distributer in Lebanon receives it, because he is our beta test. He lives and dies, him and his son, two families in Lebanon, which is a very difficult market, he lives and dies by Viking. That's the only thing he represents. So he's eager to see the refrigeration, because we've had a lot of legacy issues in the past, and he's looking forward to similar to the new Middleby technology that he received and two of his shelves – he's waiting. So he should be receiving our new refrigeration sometime in this quarter. And then I will let you know in November what will be the Optimax [ph] response, because he is most probably – the most battle tested of all the distributors I've known. He's remote, tough country, high humidity, no electricity in the country, so everybody is on generators, which basically affects how the refrigerators – if you don't have steady electrical generation coming into the homes, and he will be our biggest test so it's too early for me to tell you and until Optimax [ph] received his container, so Raymond [ph] will be able to tell us, him and his son, Joseph [ph], will be able to tell us, and I'll report to you in November. So it will be a question for all of you to remind me how is Optimax [ph] responding to that refrigeration [ph]?
Jason Rogers: Thank you for that detail. Just shifting gears a little bit to the Commercial Foodservice, just wondering what impact the rising minimum wage, the $15 minimum wage, what impact that is having as you sell your Kitchen of the Future?
Selim Bassoul: Well it's having a big impact. I will tell you one thing that people are all nervous about it, and it's driving two things. They are driving – well in fact, they're driving – it's impacting three key areas, which is design, design of the kitchen, the equipment and the workflow. So everybody is now, they know it's reality and everybody's trying to figure out a way of redesigning their kitchen. And we're seeing the impact in the fast casual. We're seeing the impact in emerging chains. As you know, the big chains take a long time. It takes a long time for them to try to change their workflow and process, not because they can't, the problem is you take a chain that has 5,000 stores or 30,000 stores or 10,000 stores, usually they have to go and convince their franchisees to invest in that technology. That's number one. So you have a corporate R&D team that really believes in it, but they might own only 200 stores. So there's no point for them to say, well, we're going to only do it in our own stores. So they need to go and convince the franchisees. And I will tell you what we're facing right now. So we're facing and they are at the end of it. The last year, I've been like you, struggling to understand why the Kitchen of the Future, which is a no-brainer, has not taken off as fast. Because the payback is less than a year, it is extremely fantastic for the over now I think there are, oh I don't know, 3,000, 4,000 restaurants that are using it. They love it. The operation income impact has been superb. So I went and asked many CEOs, and they say, Selim, we'll get to it. I promise you this will be our next impact. But we've been spending time, money, basically upgrading our technologies so that we can be literally digital leader. We can be able to order our customers order and pay online, to be able to create technology, to be able to create a more enjoyable dining experience. So a lot of money went into technologies. And they said, Selim, we have to be able for people to order online, to ship online, to be able to have apps, to be able to upgrade our security system so that people don't hack in our system and place fake orders. So it's been a big investment on the restaurant business in terms of creating, spending dollars on what I call technology where people can make it easier to order. And this is why I think our Kitchen of the Future was competing a year ago with all of those technologies in the front of the house, and I think everybody is now realizing that they've invested the money, they've done that, and we're starting to see again people looking at labor and saying, now I have to do the Kitchen of the Future. So, because I was asking the same questions. Every test that we've done with those 22 chains have been nothing but raving reviews, but then the CFO wouldn't pull the trigger. And then I did my own research, and people were honest and said, Selim, it's on our docket. We will have to use automation in our kitchen. We need to change the workflow. We need to change the labor cost, and you are the solution and we know it works, but we could not spend the money before becoming technologically advanced. When I can't be a pizza chain that I can't have our customers order online or text message and be able to track where their pizza delivery is. And they had to invest in all those technologies. And I think we are at the end tail. Maybe it's another quarter or two, but I'm looking forward to saying 2016 will be a big one for our Kitchen of the Future.
Jason Rogers: Thank you for that. Final question, Tim, what should we think about the tax rate for 2015 to be?
Timothy Fitzgerald: Yeah, that's a good question. I think we're still looking at 33%, 34%. I mean, we were a little bit lower than that in the first half of this year due to some kind of favorable items, but I think that 33%, 34% is the range we're looking at.
Jason Rogers: Thanks very much.
Operator: Thank you. Our next question comes from the line of Gary Farber from CL King. Your line is open.
Gary Farber: Good morning.
Selim Bassoul: Good morning, Gary.
Gary Farber: So a few questions. Just on the Viking business, in the U.S. the dealer network that it's going through now, now that you've made a lot of improvements and changes, what – can you give a sense of what percent is just a large sort of electronics chains? Or just large retailers of the distribution network in the U.S.?
Selim Bassoul: Can you clarify the question please a little bit more?
Gary Farber: Yeah. So like a P.C. Richards or something like that like within that end, the chain that's reaching out, that's touching the customer, what percent of the total footprint that you have in the U.S. for distribution for Viking is comprised of those types of chains would you say?
Selim Bassoul: Okay. So we – I would say we have switched significantly to those big chains. Prior to that we – let's start with P.C. Richards. P.C. Richards has always been a Viking dealer, but the relationship was not the best. Why? For one reason is we did not support them in displays. We did not support them in training. And the relationship was literally not the best. So when Middleby bought Viking, it was one of my objectives to target people like P.C. Richards. So I went and met with Craig [ph], and we created a relationship that's based on price. Craig Richards [ph] didn't come to me and say, "Selim, I'm not making money at Viking." His biggest issue was, Selim, I want three things to happen in my store. I want your sales people to support my sales people better. He had a lot of stores, and he said, "Selim, I want your people to be more present in our stores," which had been a big issue for us from a sales standpoint, our direct sales force. So we had to reinvent ourselves with our sales force. Our sales force is superb. It's just a matter that they were too spread out. We had too many dealers, and they were calling on everybody and P.C. Richards didn't feel that they were privileged, because we had I think – we had around 2,000 dealers or – let's say for sure we had 1,600 dealers, which is a lot of dealers to cover. Number two, he wanted to make sure that the display of the new products were upgraded. So what we've done is we worked together to upgrade, and it includes a commitment on both sides. He invests on display, we invest on display, and literally it was a multi-million dollar initiative on both sides. He also spend money on our displays because he believe in Middleby. He truly believed in Middleby. He always loved the brand but he believed in Middleby. And number three, we talked about significant training. So we've done training to – he has roughly 500 appliance salespeople and we trained or are in the process of training all these 500. And the trainings have been going on all 2015. Now that's on specific tactics. On the strategy side, we have built a trust where we told P.C. Richard that we stand behind the new product. Not only we stand behind it, it will be supported by service and by what I call white cloth installation, which is in the process we're putting down. Number – next one was parts. We did not have a parts system for us. So if you were a customer of P.C. Richard or in that case Pack Sales [ph] or Ferguson [ph] or Perch [ph] or the big one, Apt [ph], and your customer is down and needed that part, there was no way today you had to call our call center to get the part. You had no way to track it online. You had no way to understand if it's ongoing or not. So we changed our global parts business and if you are online, if you have an ability to do so you can go to middlebyadvantage.com, correct, Tim? It's called middlebyadvantage.com?
Timothy Fitzgerald: Correct.
Selim Bassoul: You can see that right now today. So Middleby installed an electronic parts system where anybody can track their orders. They can track which part they know. So the biggest issue as we changed a lot of, introduced a lot of new product it was tough for everybody including service to recognize which part is what, which know works where. So now you can go and see how easy it is to order parts. So if you have an old Viking range, let's say 10 years old and you don't know your part number or the service technician is new, they can go on their app on their tablet or on their computer or on their phone and go onto middlebyadvantage.com, which was cut released in December, and for Viking it go released in April 1. And now you can basically recognize which knob you need, which thermostat you need, what's wrong with your oven. It's very intuitive and it has gotten rave reviews by both our Foodservice service people and the Viking service organization. So all of those make people, dealers like P.C. Richard, Pack Sales [ph], Ferguson [ph], very much connected to Middleby now. It's not only part of Viking. It's not only the ability to sell, but the ability to tell their customers you're going to have a unique and differentiated experience with Viking now being owned by Middleby. Viking could not have done it. I could tell you that. Our competitors in residential, high-end competitors don't have that system. It's a unique system. In Foodservices it's unique, and it's out, it's open, it's on middlebyadvantage.com.
Gary Farber: Okay. Thanks. I would – but just to say – so would you say practically all of the product is now going through P.C. Richards’s type dealers as opposed to being more fragmented than that before?
Timothy Fitzgerald: I wouldn't – it still is a diverse dealer base.
Gary Farber: Pretty diverse?
Timothy Fitzgerald: Yeah.
Gary Farber: And if you took like the top-five distributers, would they comprise a fair – more than 15% to 20% of the sales? Or is it sort of less than that?
Timothy Fitzgerald: I mean it's not something we really want to disclose. You can assume it's a meaningful number. But there still is hundreds of dealer customers. Selim just went through an example. We've invested heavily in relationships with a number of key partners, which some of those are the larger dealers. But it is – it's a broad base of customers, so not heavily concentrated with one or two.
Gary Farber: Okay. All right. Thank you.
Operator: Thank you. Our final question comes from the line of Jamie Clement, Macquarie. Your line is open.
Jamie Clement: Tim, Selim, Darcy if you're back there, good morning.
Selim Bassoul: Good morning, Jamie.
Timothy Fitzgerald: Morning.
Jamie Clement: All right. A thematic question for you, big picture, most of the basic ones have been asked and answered, but as you look at Commercial Foodservice versus Residential, these are two markets where you've got to deal with price competitors. Now, over the last decade plus in Commercial Foodservice, there's clearly been ongoing pricing pressure, but you all have been able to demonstrate a return on invested capital case to your customer base, and you all haven't had to discount your sales of double or tripped everybody else's. On the Residential side, you're dealing with a potentially less sophisticated buyer. And when they go into a retail location, maybe they see a competitor where it's hey you buy the refrigerator and maybe we'll knock $1,000 off the price of the range. How long does it take upgraded quality at Viking to break that kind of mindset and allow those customers to come to Viking?
Selim Bassoul: So I'm going to answer. Jamie, it is a fabulous question. It's something that I wanted to present, to talk about it a little bit. So let's talk about Viking and then I will go to Foodservice. So on the Viking side, people buy Viking because of its looks. It's very different than Wolf, Subzero. It's very different than Thermador. And one of the things that we continue, and I'm going to share with you some of the awards that we've gotten in 2015 alone, we continue to upgrade. So we beefed up the handles. We beefed up the looks. We kept the integrity, and that's what makes Viking unique. If you get a Viking product in your kitchen, you still looks better than anybody else if you want that commercial looking design. If you want a slick urban look and you want modern transitional, Viking is not your cup of tea. You're going to go to Emele [ph], you're going to go to Agagino [ph]. We're not into that business. Our core customers want that look. And what happens is literally we continue investing in that design integrity that Viking has always had. Now, as the quality gets better, we're going to stay away from people discounting, which is surprising to me that in both Foodservice and in Residential, people, I don't know if it's the upper management or because they do not really man the stores that we do, I see discounting that doesn't need to be. So I give you a great example. A friend of was building a project – is building – not was building, is building a project in the Caribbean. It's a timeshare type of project. He had the first project. It's all Viking and even before we bought Viking, had always bought Viking. He had no issue with it, at least there, because they were supported and not used heavily and it was done almost 10 years ago, so it was when Viking was producing good products. So he decided in the second project to buy Viking and now that he knows me, we have a relationship, he's a friend, he has more reason now to buy Viking, well our competitors came in and offered him – remember, it's in Caribbean that means you have to create warranties, service, you have to ship it. So direct from competitors, they went, and it's a top competitor of ours. It's a good brand. It's not a second tier. A top tier, which I consider a very good brand, offered them, compared to our price, 30%-plus. Okay? So he called me. He says, "Selim, what do I do?" I said, "You should buy my competitor at 30%." He says, "But, Selim, in my first project, I have Viking. In the second" – I said, "No, no. Stan, go and by Subzero at 30% because I will not even discount." And I will give you perspective. In Foodservice Middleby bucked the trend early on 15 years ago in year 2000. When I became CEO there was a lot of pressure on me to discount and we said no. In 2009 when the recession came all our competitors and one of them right now who you all know my number one competitor is out there giving things away. The year are trying to bring business in light of the strategy that they have to do next year to shore up their business by discounting heavily despite the fact that they have great brands. So I don't do it. I won't allow to do it and I'm going to give you a testimonial to that effect. Seven years ago a big pizza chain hired a supply-chain executive. So the first thing this guy came because we're exclusive with that chain, almost – not exclusive but toward 90% of their business. They decided to – they get an offer from a competitor that at the time was substantial. So they didn't want to ask me, they didn't ask me to match the price but they said, "Selim, we would rather stay with Middleby Marshall, would like you to reduce the price to meet that price at least half way. We know Middleby Marshall is better. We have it in the system." I said, "No." We're not in the game price. Go and do that. So ultimately they made a decision to switch their domestic business, not their international business, their domestic business because that manufacturer could not support them internationally. So we kept the international business. We lost the domestic business. So a year ago they decided to come back to us. Why? Because over the five, seven years they realize there's a cost of ownership was a lot bigger, higher than the discount they got up front. And they realized that Middleby in those five, seven years in the domestically they did not benefit from the speed of cooking, from our ability to create a better bake, a better pizza, and ultimately they came back. Now it helped that their CEO came from the international market and never switched. And went back and scratched his head and said, why? And now they've come back and they were here this week testing our latest technology and they are rolling out our latest product that's rolling out our latest product that's rolling out again at that chain. So over time, we're going to lose orders because everybody's tempted by such a price discrepancy. Nobody is coming to me and saying, "Selim, I'm losing an order for 3%, I'm going to walk away." It's usually over 25% to 30% difference. And many of our customers have come back and say, "Selim, we know you're the most expensive, but we stick with you because of your service, of your innovation, of your solution, and what you provide." And this is why if you look at us and our competitors in foodservice, they don't carry the margins we do. They are always packaging, doing something, and I've seen that in residential and we're now bucking the trend and saying no. And that most probably has cost us orders this year because people are trying they don't know us. They don't know Middleby, and they are trying to test my resolve and saying, well, I can't believe that Middleby is not going buckle down. So there have been projects that were all Viking, a building project, and they come back to us and say we want another 20%, 25%, and we say, no, sorry; we're not going to give you that price because we're not going to discount the brand. And with time, you're going to realize as Middleby infuses that technology, your customer is going to come back to you. And our technology is so differentiated on Viking right now, Jamie, that you cannot ignore it. Our [indiscernible] our ability to be the way you can now categorize your food in the refrigerator. It is amazing, amazing. Our ranges, our burners, our ovens, we are the only basically true technology from commercial on all our ovens, whether it's a range oven or it's a wall oven that has zero preheat, zero preheat. We continue introducing technologies in terms of cleaning the oven, in terms of the way, how fast we boil water and how fast we create even-bake. Remember, this is our technology. This is what we do for a living. And I remind people that chefs are more demanding than any home chef because they make money off our equipment. And we're trying to take that technology back. So the trend is in our favor, and now people are starting to realize that Middleby – it took some time to realize that Middleby is infusing so many technologies in what we do. So price point, I can't – after all those years, our competitors haven't copied us. In foodservice, they remain a lot less price than we are. And you know what? They have great brands. And no one to discount their brand. And in some cases they have some good technology, but they are not disciplined the way we are on pricing. And you know what? Some customers who are always – and I look at that, some bidding customers that are always bidding have never been customers of Middleby. And they are not great concept. So I will tell you there's not a single great concept out there. I will tell you that every winning concept in fast casual have never come back and said, "Wow, you're 30% higher I'm not going to buy your equipment." So I name all the winners, Dunkin' Donuts. I win Five Guys. I win – I have Chipotle. I ask all those customers who have used us who are number one in that concept they use us. Price is not an issue, because they need the solution and innovation. So, Jamie, I hope I was able to answer your question.
Jamie Clement: And then some. Thank you all very much for your time.
Selim Bassoul: Thank you very much.
Selim Bassoul: Is there any other? If there's not more questions, I'm going to basically wrap up by talking about some interesting trends that makes Middleby very excitable for the next three years. So I will start to release Technomic just released the top-500 report, and the 500 biggest U.S. chains have something to celebrate in 2014 and in 2015. Their sales, their food sales rose 4% last year up from 3% in 2013. And in 2015 the trend seems to be even slightly higher. The number second biggest event is that it's the first time ever that sales, food sales at bars and restaurants surpassed sales at grocery stores according to the U.S. Department of Commerce. Big, big number for us, meaning people spending money eating out has now surpassed in actual dollars people buying food in grocery stores. The third data shows that reliance on eating out grows with each new generation. And the millennials are considerably heavier users of Foodservice than baby boomers, which spends well for our industry and our segment. Finally, premium fast casual remains hot, hot, hot, where Middleby is extremely well positioned. It grew at 11% in 2014 while overall QSR growth was flat that traction to fast casual stems from the fresh made-to-order menu items and the ability to create innovation in menu and to serve literally items in a fresher environment and more made-to-order. Again, I would say, it's a take share market for most operators these days. To help spur growth, creativity is rapidly becoming the norm. Restaurant and institutions continue to come up with all sorts of ways to differentiate their operations. And it's maybe small tweaks to significant shifts. But I tell you, everybody is trying to elevate the dining experience, whether it's a McDonald's, whether it's a Chipotle, whether it's a nursing home. Some fast casual concepts are now hiring corporate chefs to take their menu to the next culinary level. In addition, comfort food is becoming more and more part of the menu, which is great for Middleby, because comfort food requires more and more cooking and preparation. QSRs are fighting back by fast casualizing. Seeing their market share getting squeezed, fast food chains are responding by renovating both their physical operations and their menu items. Taco Bell just introduced several upgraded menu items and they are working with Miami chef, Lorena Garcia, to come up with items that will compete with fast casual rival, Chipotle. It's new Cantina power [ph] menu doubles up on protein and offering such items as grilled chicken bowls and using ingredients like black beans and corn salsa. So what we're seeing is additional equipment is used for preparation of all those menu items and cooking. Not to be left out of the competitive frame, foodservice restaurants are also investing in makeovers. So we're seeing the introduction of induction cooking, Combi ovens, speed cooking and trends in kitchen with small footprints and who are hiring chefs who like the convenience that those equipments offer. So another interesting trend for Middleby has always been something that we've never given up, which is nursing homes. As baby boomers will start entering senior living facilities, they do not want the traditional food served to their parents. So when they enter retirement living, whether it's a private apartment or assisted living or a nursing home, they want to make choices. So they are asking those institutions to execute excellent quality menus to satisfy their new demands, which requires new equipment. So we're starting to see nursing homes moving away from just standard ranges and ovens to more sophisticated solutions that Middleby offers. So from that perspective on the Foodservice we remain very excited about Foodservice. On Food Processing we continue to now work on smoothing out the cyclicality of this business and its lumpiness. Like you, when we bought that business 10 years ago, it was one of the most frustrating items. And we've worked hard to start diversifying our offerings, offer items that were not only a project that required a $20 million investment, so we're tackling helping solutions to smaller manufacturers to be more regional or emerging markets, and we're entering new segments, and we're going after emerging countries where safety of food processing is a big issue, where they are becoming – the middle class is becoming more sophisticated where they are one thing, sustained items whether it's processed ham or sausage or chicken. So we're very excited about Food Processing. And as I promised on this call, within the next 24 months we'll be able to have a strategy that started being executed where it takes away the cyclicality and the lumpiness. We're very excited about that, and it's going to start being implemented this year. So by 2017, by end of 2017, we'll be very much out of the cyclicality that has plagued that industry for many, many years and that suffered fundamentally, because one of the things that you've heard year in and year out is the cyclicality of this business. On the Viking side, I'm so excited about how people have perceived us. So I'm going to take you through what's happened since we owned this business. In 2013 we became the first brand of choice of affluent customers for cooking appliances by dwell-inside [ph] service group. In 2014 we see the best kitchen appliance worst splurge by Epicurious. Women's Choice Award was recommended to basically to Viking. It was the number one most recommended luxury range. We won the Kitchen Bath Business Reader's Choice Award in 2014. We had the first, second and third base product winners on our new product, which is the French door 700 series by Kitchen & Bath Industry People's Choice Award. The French door oven was picked as the product innovator award in 2014. I have a lot more to share with you, but let's go to 2014 – 2015. In 2015 the builders surveyed ranked Viking range and cooktops, the new ranges and cooktops as number one in quality rating. Good Housekeeping named us as the best gas range in 2015. We were the winning of Architizer A+ Award for the Viking professional French door oven. Then we received a special mention for the Viking professional cooktop in 2015. USA Today's Editor's Choice Award gave our Viking professional gas cooktop, the new one, its number one rating. And then the Harris Poll EquiTrend just now recently named Viking as one of America's most beloved brands in 2015. So I'm very excited of where we've taken Viking. I'm very excited about our EBITDA. I'm very excited about how the new products have grown, and we can't keep them in stock. Now, what are the challenges at Viking? The challenge at Viking is that we continue facing legacy problems that we need to basically overtake. So literally we have gone back and fixed most of our legacy issues that we have inherited. We have worked on our 500 series, on our 300 series. We have redesigned all our refrigeration. We have redesigned all our outdoor. We are now working on our wall ovens to retrofit all wall ovens so they have the same sturdiness of our French doors, which came from Jade and Blodgett. We have reshaped all our hinges on all our door ovens. We have retrofitted all our zero pre-heat cooking on all our 700, and 500 and 300. So we've done a lot in 2.5 years. However, for somebody who bought Viking in the last five, six, seven years, they've had a bad experience. Our claim is now to go back to those people and prove to them and prove to the dealer salesperson who sold them Viking in the past that now they can trust that brand again because our products will have great features and they won't break down. So we'll continue working hard with our sales force, with distributors, with our dealers, which have been reduced, who believe in us. Some people do not believe in us and they parted ways with us, but we've had new dealers that have been convinced that under Middleby, Viking will become number one again, the way it used to be. And we are – I'm very comforted by the P.C. Richard, the Perch [ph], the Paxell [ph], the Ferguson [ph] and most important, by a small distributor in Lebanon who makes his living, him and his son, only through Viking and who have been since 1999 a Viking distributor in a tough market and where they received the first shipment and it was a big, big success. So for that – I asked Raymond [ph] to listen to that call. I hope he is listening from Beirut, Lebanon. More great products are coming your way and the next truckload will have our new refrigeration and we'll be here to support you, as the [indiscernible] Beirut, Lebanon so that you don't have the problem that you experienced in the past. This closes my comments, and thank you for listening to me.
Operator: Ladies and gentlemen, thank you for participation in today's conference. This concludes the program. You may all disconnect.